Operator: Good morning, ladies and gentlemen, and welcome to the Forum Energy Technologies' Earnings Release Conference Call for the First Quarter of 2017. My name is Andrew, and I will be your coordinator for today's call. At this time, all participants are in a listen-only mode, and all lines have been placed on mute to prevent any background noise. We will be facilitating a question-and-answer session after the speakers' remarks. As a reminder, this conference call is being recorded for replay purposes. After the speakers' remarks today, I will instruct you on the procedures for asking questions. I will now turn the conference over to Mr. Mark Traylor, Vice President of Investor Relations. Please proceed, sir.
Mark Traylor: Thank you, Andrew. Good morning, and welcome to the Forum Energy Technologies' first quarter 2017 earnings conference call. With us today to present formal remarks are Cris Gaut, Forum's Chairman and Chief Executive Officer; as well as Prady Iyyanki, President and Chief Operating Officer; and Jim Harris, our Chief Financial Officer. We issued our earnings release last night, and it is available on our Web site. The statements made during this conference call, including the answers to your questions, may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Forward-looking statements involve risk and uncertainties that may cause actual results or events to differ materially from those expressed or implied in such statements. Those risks include, among other things, matters that we have described in our earnings release and in our filings with the Securities and Exchange Commission. We do not undertake any ongoing obligation other than that imposed by law to publicly update or revise any forward-looking statements to reflect future events, information, or circumstances that arise after this call. In addition, this conference call contains time-sensitive information that reflects management's best judgment only as of the date of the live call. Management's statements may include non-GAAP financial measures. For a reconciliation of these measures refer to our earnings release. This call is being recorded. A replay of the call will be available on our Web site for two weeks following the call. I am now pleased to turn the call over to Cris Gaut, our Chief Executive Officer.
Cris Gaut: Thanks, Mark. Good morning. I will begin with an overview, and talk about the current market conditions. Afterwards, I will turn it over to Prady, who will address the ramp-up in activity and our outlook. And then Jim will discuss our financial results and the impact of resetting our SG&A cost run rate for the recovery. The recovery in the U.S. land, drilling, and completions activity is well underway, and Forum is highly leveraged to it. Our U.S. revenue in the first quarter increased 25% sequentially, roughly in line with the change in the U.S. rig count. The primary contributors were completions, drilling consumables, and production equipment, which collectively grew by 33% in the first quarter. For the third consecutive quarter we saw an increase in our inbound orders, which is a good indicator of our near-term business prospects. Forum's total inbound orders during the first quarter were $194 million, that's a 6% increase from the level in the fourth quarter. And the first quarter book-to-bill ratio was 113% for the company as a whole, led by 119% for the Completion segment. Orders in our Completion segment increased 31%, and were up 50% for our pressure pumping products, as customer spending improved on almost all product offerings across the segment. During the quarter, orders from our pressure pumping customers were particularly strong as they were spending money to reactivate their hydraulic fracturing fleets. Orders in our Drilling product line were up 13%, resulting in a book-to-bill ratio of 107% during the quarter, primarily on the continuing demand for rig consumable products and mud pump upgrade packages for the U.S. land drilling market. Despite the weak fundamentals in the subsea oil and gas market, Forum was able to achieve a book-to-bill ratio of 119% in the first quarter for our Subsea product line, which continues to focus on non-oilfield opportunities. In our Production Equipment product line our book-to-bill ratio was 123% as demand continues to be strong for U.S. onshore well completions. With over 70% of our business tied to the U.S. land market, Forum is uniquely well-positioned among manufacturing companies in a strong domestic recovery which is underway. I will now turn the call over to Prady. Prady?
Prady Iyyanki: Thanks, Cris. Good morning everyone. The growth in orders and revenue for our products is leading to increased demand load on our manufacturing facilities. We continue to ramp up production at many of our manufacturing plants. We're seeing strong demand for our drilling consumable products most of the Completions segment, and well site production equipment. For these manufacturing plants our current indication is for full cost absorption in the second or third quarter of this year. We have sufficient roof line and manufacturing equipment capacity, and do not have facility constraints. As part of the ramp up in our production, we have hired a substantial number of additional manufacturing employees during the quarter, and expect to continue recruitment throughout the remainder of the year. Our procurement team has done a great job securing capacity from our supplier for long-lead items, mitigating a supply chain risk by diversifying our supply base, and shortening the delivery times of many of the critical items. As the recovery continues to gain momentum we are beginning to see the benefit of better manufacturing cost absorption, operational efficiencies, and lower procurement cost. For certain products in U.S. land, where demand is especially strong and with the lead times extending, we are beginning to see the opportunities of price increases. I am confident in our ability to increase our operating margins as the recovery gains momentum. Our sales and engineering teams continue to work with their customers to develop new products. In particular, we are developing several new products in the Completions segment to address the longer laterals and higher service intensity, and sand loadings now required in the shale plays. I'll give you a few examples. We just delivered our first new pressure pumping manifold trailer, the ICBM, which is a clean design, simplifies the assembly operations and service tests. This allows for a quicker and safer setup in the field, and eliminates premature failure on the high-pressure branch connections. We designed a new innovative rack track [ph] suction manifold, which attaches to the fluid end of better sand distribution, therefore extending the life of the fluident [ph]. We have already sold over 40 units during the quarter. We have also engineered a new 60-inch [indiscernible] valve stainless steel quintuplex fluid end to match with the 3,000 horsepower frac pump. Another good example is our [indiscernible] pressure pumping power end. We're getting good traction from customers on this product due to the proven reliability and performance. We've added five new customers during the quarter, and have received orders for over 250,000 horsepower thus far in 2017, and continue to gain momentum. Our pipeline of M&A targets is strong, with a primary focus on expanding our Completions offering for the midstream and downstream opportunities. As we look ahead to the second quarter of 2017, we expect our orders for consumable products to increase as the recovery continues in the U.S. land market. Our revenues improved by around 12% to 15%, positive EBITDA, for the first time since 2015, and a diluted loss per share to be the range of $0.12 to $0.09. Let me ask Jim to take you through our results and financial positions. Jim?
Jim Harris: Thank you, Prady, and good morning everyone. Our first quarter revenue was $171 million, a 16% increase sequentially. This is the second sequential increase in our quarterly revenue in the last two years. Our adjusted EBITDA increased $2 million, and our adjusted net loss per share was $0.14 excluding special items, an improvement from the fourth quarter as the industry began to transition to the U.S. land upturn. The step change in SG&A cost required to participate in the U.S. recovery is now in place, and represents a more normalized run rate for the year. I will summarize our segment results on a sequential basis for the quarter, and provide additional details on the first quarter results. Our Drilling & Subsea segment revenue, of $62 million, was up 13% primarily due to the strong improvement in sales of drilling consumable products. The Completion segment revenue, of $42 million, increased 21% sequentially as customer spending improved on higher well construction and completions activity in North America. Our Production & Infrastructure segment revenue, of $68 million, was up 18% due to improved sales of our U.S. land well site production equipment, and the addition of the Cooper Valves' asset acquisition during the first quarter. Although for the quarter we had adjusted EBITDA of negative $3.4 million, importantly, we cross over to positive EBITDA for the last month of the quarter. As we guided in our last quarter call, the first quarter improvement in earnings included overcoming the step change increase in SG&A necessitated by the improving market conditions. In the first quarter, we reinstated historical pay practices for our employees at a quarterly cost of approximately $5 million. These practices include a return to full work schedules, accruing for expected 2017 bonuses at target levels, and providing company-matching contribution to the Forum 401(k) plan. In addition, we added about $1 million of SG&A cost in the quarter that will benefit our operations going forward as the recovery continues. Further, our SG&A run rate now includes the operations of the Copper Valves asset acquisition. The adjusted SG&A increased $6 million in the first quarter, and was approximately $60 million. Going forward, incremental revenue should require modest variable SG&A cost increases. Excluding the step change cost additions in the quarter, our incremental EBITDA margins were 35%, with little or no pricing improvement. The net loss for the first quarter was $16 million, or $0.16 per share. The quarter included special items on a pretax basis comprised of $2 million of foreign exchange losses, and $1 million of transaction and other expenses. The adjusted net loss excluding these items and the associated income taxes was $0.14 per share. Our free cash flow after net capital expenditures in the first quarter was negative $18 million throughout the downturn. We successfully converted working capital for cash to continue to generate positive free cash flow. In anticipation of the continuing recovery, we are investing and our highest demand inventory items to respond to the rapid upturn in activity. The increase in sales volumes are also translating in the corresponding increases and accounts receivable. These investments resulted in the negative free cash flow in the quarter. While we expect to use cash and operations for the first half of 2017 as earnings continue to improve throughout the year, with activity levels, we should return to generating positive free cash flow in the second half of the year. Our growth capital expenditures in the first quarter were $3.5 million. Our budget for 2017 capital expenditures is approximately $30 million, which is sufficient for maintenance and select growth investments, primarily in the Middle East. Our balance sheet and financial position remains strong. We ended the quarter with $205 million of cash on hand and with no banks that are outstanding. We remain well positioned and ready to execute our acquisition strategy. Our weighted average dilutive share count for the first quarter was $95.9 million shares. When we turn profitable on a net income basis, the diluted share count will increase to approximately $98.6 million shares to once again include the impact of options. Net debt at the end of the first quarter was $194 million, up $32 million bringing our net debt to total capitalization ratio to 13.5%. Interest expense was $6.6 million in the first quarter. Corporate expenses were $7.8 million, and we expect corporate expenses to be around $6 million in the second quarter. Depreciation and amortization expense was $16 million for the quarter, and should be similar in the second quarter. Our effective tax rate for the first quarter operating loss was 45%. The higher effective tax rate benefit is attributable to the street items which occurred in the quarter. We estimate our effective tax rate for the remainder of the year will be 37%. For more information about our financial results, please review the earnings release on our website. Now let me turn the call back over to Cris.
Cris Gaut: Thanks, James. Before we got to Q&A, let me just note that this is my conference call as CEO having had the privilege to serve as CEO for instances infection seven years ago. I will continue to be active as Chairman and will participate in that role in future conference calls. We brought party on for three years ago to create a more professional streamline and efficient organization that we will be among the leaders in the oil field manufacturing space. Since then Prady has proven himself at every turn to be an excellent leader with strong business judgment. I was pleased to recommend to Board his move to CEO next month and I look forward to the continued growth and prosperity of the company under Prady's leadership. Prady?
Prady Iyyanki: Thank you, Cris. I'm honored to lead for him into his next chapter. Cris successfully said the direct performs business and financial strategy, but the transition to bring a public company and built a foundation across with the investors and customers. We established forum as a strong competitor within the oil field a different manufacturing sector and has proven to be an excellent mentor for me and many others. I will ask Cris to continue to assist in this leadership transition. In his new position, he will be actively involved with our large strategic matters as well as acquisition and capital markets of course. I look forward to considering the strong partnership request. We have a great team, a season broad and a strong business model. I'm excited to lead the next phase of significant profitable growth performed. We thank you for your interest. At this point, we will open the line for questions. Operator, please take the first question.
Operator: [Operator Instructions] Our first question comes from David Anderson with Barclays. Your line is now open.
David Anderson: Hi, good morning. So, strong top line quarter overall and clearly you guys have leveraged to occur [ph] all the rate parts of the business. I guess, t part that's a little disappoint to us is just that the EBITDA progression here; you talked about kind of these additional costs that are in there. And Prady, I think you said forecast absorption by second or third quarter. Can you help us to kind of understand what we should be thinking by in terms of incremental margins going forward, or I guess maybe should we think about kind of fourth quarter should end up, it's just a little hard trying to figure out what the trajectory is right now on the EBITDA path.
Jim Harris: Hey, David. Yes, I think that Jim made the point as he was going through the explanation of the SG&A step change that we had that excluding that the impacts of the SG&A one-time effects here, the incremental margins, which were 35% in Q1 without any pricing improvement. I think the implication and the guidance that we've given is that the incremental margins in Q2 will be a bit better than that. And as we moved forward with the recovery here and what the incrementals are from there for the company as a whole, will depend on a few things. As you point out, absorption, getting to full absorption is a positive factor until you get to pull absorption and then you kind of use that one, but what I haven't [ph] kicked in, yes, is pricing.
David Anderson: Right.
Jim Harris: Prady, talked about some of the pricing opportunities that we are seeing, we are getting to see. And so, incremental margins in the fourth quarter will depend upon what rate of improvement in pricing we have across our businesses by that point in time, but I think the overall message is that we had good incremental margins, excluding what -- you know, the well-telegraphed change in SG&A that we talked about last quarter, and they should be better in the next quarter.
David Anderson: And so, as we talk about pricing, I guess one thing I've been kind of curious about is kind of lead times for some of your drilling and completion equipment. Some of the smaller operations has taken a bit longer to get flow, and I would imagine there will be a precursor to kind of this long way inventory restocking cycle, can you talk about those dynamics right now in terms of what you are seeing out there, or is it little early to start seeing this stretching and kind of how you think this kind of walks forward in terms of inventory restocking and pricing and lead times and all that?
Cris Gaut: Yes, yes, I think specially the pressure pumping, David, we still have inventory in the outer rims [ph] and some of the other parts, but some of the long lead items like where you need forging and castings, we are already seeing extensions in the lead time, which does give the opportunity to have discussions on pricing. So, those discussions have already started.
Prady Iyyanki: But the demand for treating iron is high, and we are ramping up our rate of production there as quickly as we can to address the rapid increase in demand. And it's basic economics; demand and supply, and when demand exceeds supply, what's all we learned in economics class, right?
Cris Gaut: Yes, and if we look at our Completion segment as a segment, both bookings, incrementals, and also revenue were all very strong.
David Anderson: Okay. And enhance also why you need to increase the SG&A, because you have more people working and they are going to be all working in there. Just a last question on that, Prady, I think it would sense to me with a midstream and downstream opportunities in there and I noticed in the release you talked of valve orders, how it is for -- very strong this quarter. Can you quantify that valve order increase for us a bit? Just kind of curious how that lined up with the rate cut and maybe what's some of the primary drivers are behind that, that part is maybe we talked about that too much valves in last few years just kind of curious how much is going to be a drive over the next couple of years.
Prady Iyyanki: Yes. Well, I think a good question, David. But I think the valves numbers they gave out are, I think the Cooper acquisition has obviously helped but independent from the Cooper acquisition, if we look at our valve business, we have presence and midstream, downstream and upstream and we are saying activity in the upstream side, which is driving some of the bookings in the valves and we had a pretty strong quarter from a booking standpoint as well.
Cris Gaut: Yes, midstream and downstream, good demand, pretty steady. The increase in demand for valves is on the upstream side as one would expect and in addition to that greater demand for the upstream valves is the addition of Cooper, which is probably levered to the power industry, which we didn't really have exposure to before.
David Anderson: Okay. Great. Thank you, gentlemen.
Cris Gaut: Thanks, David.
Operator: And our next question comes from Jacob Lundberg with Credit Suisse. Your line is now open.
Jacob Lundberg: Hi, good morning guys. Thanks for taking the question.
Cris Gaut: Hi, there.
Jacob Lundberg: Just wanted to drill down on the guidance for 2Q a little more, are you guys able to speak to what in your mind the guidance range on EPS implies from and EBITDA perspective? Looks like its maybe around $6 million to $8 million, do you agree with that?
Cris Gaut: Yes, obviously we didn't give EBITDA guidance, we gave revenue and EPS and I mean you don't have your model but I think that's the parameters that we want to get back to you. The reason we've given exclusive guidance this quarter for the first time in several quarters. I think it's a reflection of our growing confidence and visibility in the business that we haven't had throughout this downturn. But now with the growth in orders the several quarters have strong book-to-bill ratio and for us given a lot of book and ship business anything over 1.1 is very good. And that we have those kind of book-to-bill ratios across the company. So given the greater visibility our confidence yes we have the ability to look yes and say we are going to give guidance and so that's why we did that this quarter.
Jacob Lundberg: Okay, great. And then, I guess looking for a sense of momentum in the completions business, can you speak to how much compared with January from sort of a sequential growth perspective?
Cris Gaut: Yes, I think there is a sequential growth or month-over-month and right now they are trying to ramp up as fast as you can, get people as fast as you can and we are seeing sequential improvement. In fact we expect April to be stronger than in March.
Jacob Lundberg: Okay, great. And then, last one if I could, can you tell us how much Cooper valves contributed in the first quarter from revenue perspective?
Jim Harris: Jacob, we were having disclosures in our Q - given the size, it's fairly limited and historically we've not provided that information, other than what I would say already about the SG&A contribution.
Jacob Lundberg: Okay. Thanks Harris.
Jim Harris: Thanks, Jacob.
Operator: And our next question comes from Brad Handler with Jefferies. Your line is now open.
Brad Handler: Thanks. Good morning all. I guess before I ask a question. Cris, I know this doesn't sound like it's a goodbye and I hope it's not a goodbye but I just wanted to wish you very well in your - this next phase and just to sort of say how much I've enjoyed kind of faking being with you or following you guys through this process are you sort of coming to public with Forum as well as sort of with such a clear vision? And then, watching so much of that come to collision that's been fun to watch and fun to ride along with you, long?
Cris Gaut: Thank you, Brad.
Brad Handler: Okay. A couple of questions, I guess from me. The 250,000 of orders obviously a nice big number there, maybe a couple of questions around that do you have a sense for how much of that relates to new horsepower versus reactivating horsepower? And then, the second question is a little bit more specific to J-Mac is that you know, is that new customer base or are you upgrading and rebuilding J-Mac power end themselves?
Cris Gaut: Yes, I'll take the second one first is the - if you look at our J-Mac or power end. I mean, the first quarter alone divided new customers, which was not being a customer based in the past and one of the reasons why we secured that customer base is because of our proven reliability and the performance of the powers and the second question was the horsepower, I think we are seeing both. We are seeing some newer companies coming to the fast market and we are also seeing the refurbished power ends. So we are seeing a combination of both in the - not only in the power business but the cost of board for our - for your pumping product line.
Prady Iyyanki: I would add a little that a lot of the orders were for new equipment. So that is an element there more than one might have thought three months ago in this space. But there is also a healthy dose of replacing the power ends on existing fleet in sometimes and some cases moving from and other model pump to the newer model more efficient longer lasting pumps that J-Mac offers. Now you also asked about refurbishment. So this would not include refurbishment, if we are refurbishing a pump that goes into our service revenue. But things are new power ends that we are talking about.
Brad Handler: Okay. Thanks for clarifying that. And then, just an non-related follow-up even if its' a little open-ended. I guess, I'm curious about in the current market, which has more than its fair share of uncertainty around the direction of crude despite the momentum in the US can you comment on what that does to M&A conversations. In other words, you guys have spoken pretty clearly to the past about the need to find bottom before sellers kind of decided they are ready to sell and now presumption wise I think that there was a platform now on the basis now to see some more M&A given kind of this constant sharing and perhaps to some degree a lower setting of oil prices and some people say does that lessen the M&A potential in your mind as you think about the next six months or 12 months, kind of some color on that would be appreciated?
Prady Iyyanki: So I don't think it lessens it Brad with this kind of recent dip. Hopefully, it will take some of the cross off of expectation and I think another factor when you think about M&A is the IPO market, right sometimes people are thinking about whether I should sell a company or whether I can take it public. Clearly, the IPO market the [indiscernible] has come off there. And so, yes I think - I don't think it's had an -- from our standpoint it's a buyer, it has not had a negative impact on the M&A market and hopefully it hopes to bring things into line. We will be active, we are active and we are building our pipeline in the M&A space.
Cris Gaut: Now, Brad probably the other thing I'll add is I mean, our priority is obviously the completion segment and the activity in the completion segment has picked up across the board as a result, I think most of the companies are going from red to green, which becomes easier not only to avoid valuations but more from a seller standpoint they don't have the impression to the selling of the -- for the fall.
Brad Handler: Okay, that will make sense. Thanks. I'll turn it back.
Prady Iyyanki: Thanks, Brad.
Operator: Thank you. And our next question comes from Rob MacKenzie with IBERIA Capital. Your line is now open.
Rob MacKenzie: Thank you. Congratulations Prady, and thanks for all your service, Cris; just wanted to shake that. Question for you again following up on the horsepower question, just to ask, when you look at what's the order so far obviously just a lead time to deliver those power ends and through that you would also sell. What portion of the idle U.S. frac equipment do you think has played so far to be refurbished and reactivated and versus how much do you think is left to make the prices orders for?
Cris Gaut: Yes, now I think the -- I think, there is still room. I think, we are still in the early phase of the recovery in the frac side even though at the peak it was 14 million horsepower and today we are probably at 10 million horsepower or eight to 10 million horsepower but we do see opportunity and we're at early phase of the recovery in the price side.
Rob MacKenzie: Any kind of way to put some numbers around that, I mean just 250,000 horsepower that you guys won, is there three times less that more four times, two times, what is left in terms of the revenue opportunity?
Jim Harris: There was eight working and we're trying to get to 10 million horsepower a lot of that increment requires a new power, new pumps right and looking from here to get back to the 18 that we were at back in 14 that is a lot more pumps right. There aren't as from every incremental fleet that goes back to work is going to require more spending, not less. And that is why also people are working at gosh should I bring that older stuff back or does it make sense to kind of build new, it's like refurbishing that old house. And so you know I think we'll continue to see fleets existing fleets brought back but we're digging deeper and deeper into the stacked equipment.
Cris Gaut: Our thought for the utilization is still at 85% kind or range and as utilization goes to 90 and 95 that will also drive activity.
Rob MacKenzie: Right, okay. Thank you. And then I wanted to come back to switch gears to the production equipment side, obviously didn't repeat the stellar quarter you had in the fourth quarter but with the pace of completions ramping up, I would think that that orders there would look pretty bright the next couple of quarters, can you give us some more color on how you see that trajectory playing out?
Cris Gaut: Now, Rob, I think one thing we did share the last call Rob was there was a $16 million of a chunky order that we got from one particular customer who was planning for 2017 and that was a chunky order in fourth quarter of 2016. So if you take that out, I think production equipment guys had pretty good order but production equipment as the ducks start getting completed the activity in the production equipment will pick up and I think the completion side right now is lagging behind little bit on the drilling front, it wouldn't from the number of ducts being increase in the Permian and the other basins but as it starts completing the ducts, there will be a need for production equipment. Now in the case of production equipment, the lead times are little bit longer than a consumable item, so we usually see the quarter ahead and that's one of the reasons why we saw that in the fourth quarter.
Rob MacKenzie: Okay, great. Thank you guys, I will turn it back.
Operator: And our next question comes from Mart Malloy with Johnson Rice. Your line is now open.
Mart Malloy: Good morning. Cris, good luck with your future endeavors.
Cris Gaut: Thank you.
Mart Malloy: Just had a question maybe on the long items that we used to start to see the lead times stretch out, can you give us a little more perspective on how long as we're planning to stretching out and also when we should look for the impact of pricing increases starting to flow through to numbers that more of a third, fourth quarter type of thing?
Cris Gaut: I mean Marty where we are seeing some lead time increases just not say cost of market is the portions whether it's on the frac side, where we do as the frac activity continues to gain momentum those lead times will increase, as of now they have not increased significantly but what we are putting, we are securing a supply chain for the rest of the year and the procurement team has done a pretty good job of securing the supply for the portions but that's where we are seeing it today but as the recovery continues, I think we will see the increase in lead times across the board which at the same time gives the opportunity on the price side. I would say we would stop seeing some minimal price increase starting in the second quarter Marty but as the year progresses I think we'll start seeing more pricing opportunities and we will start seeing on the frac side first and then I think it will spread across the board.
Mart Malloy: Okay. And if I could ask just on the international markets can you update us there what you're seeing particularly in the Middle East.
Cris Gaut: They're all our operation in Middle East is on track I think up in the second half we expect the operation to start producing from product more probably in the fourth quarter of this year. I mean some of the capital equipment orders we've be talking about in Middle East model yet. I think that the Saudi is already cancelled the which but the Kuwait and NBC which were talk to you in the past I think you're moving to the right. So the capital equipment I think is moving to the right but our presence in Middle East is getting stronger and I think starting in the second half we'll start seeing some activity from our standpoint.
Mart Malloy: Great, thank you.
Cris Gaut: Thank you.
Jim Harris: Thanks, Mike.
Operator: And our next question comes from [indiscernible] with Wolf Resources. Your line is now open.
Unidentified Analyst: Hey, I just want to echo everyone's sentiments; congrats Prady and Cris whish you all the best and try to enjoy you know a bit more free time.
Cris Gaut: Thank you.
Prady Iyyanki: Okay, Chase [ph].
Unidentified Analyst: I guess the first question if we can kind of talk about the pace of orders, throughout 1Q and if they really accelerated as you got into March.
Cris Gaut: On the frac side, for sure, yes, we did see that moment the most in the completion segment with this March being stronger than January, but I've also say part of that is contingent on I think the completions activity is lagging behind the building activity in our customers are trying to mobilize crew, the equipment, the logistics and whatnot right and I think there's a lag between those two so as this but completing the activity we do expect our completion segment to see more activity and that's what was evident in the first quarter at least March was, January. Some of the other product lines I've got different dynamics I think the case of production equipment I will said the lead times a little longer so, we saw a very strong 4Q, you we saw some 20 orders and we expect to be pretty constant on a move forward basis but I think the activity will increase. If you look at our drilling product line I think the activity we are seeing is in three places right as the is the module a much greater module which is usually a one to two orders ahead so we started seeing that activity not third quarter of 2016, 3Q, 4Q and 1Q we started almost three quarters we saw them a pump upgrade but where we see the increase in activity of the consumable side the OpEx part of the, the drilling consumable our portfolio and now we're seeing the activity on the, on the drilling capital equipment side but more from a services standpoint where our customers are trying to upgrade or remanufacture some of the capital equipment like catwalks and rock mix [ph].
Unidentified Analyst: And this is very helpful. It's a great color, appreciated I don't know if you could help us here when we think about drilling and then also think about completions, how much of your revenues kind of come from services, for each of these businesses and versus product.
Cris Gaut: Yes, the services is not itself is not a big part of our revenue. And it's in, it's an aftermarket services is often a means to sell products so, in our drilling business if we bring in one of our catwalks for a drawing contractor. We'll rework it but, we're selling and sell a lot of parts there too and certainly on the pressure pumping side when they pump truck comes in for recertification whether its one of our yards or we're doing it out in the field. We're going through they're treating our in their manifold trailer. And yes we certifying it but of course, replacing any worn parts so, in many cases the service is a means to an end to sell additional products which is where the margin is.
Unidentified Analyst: Okay, great that's helpful. Last one I'll turn it back over. On pricing if we think about completion and kind of where pricing is today versus kind of where it peaked at you know on 2014 could you kind of help us understand how much pricing has compressed on average for this segment?
Cris Gaut: Well, I'll give a range across the portfolio, and then [indiscernible] across the portfolio probably you lost about 15% to 20% pricing across the portfolio at an average, in the frac side we lost more, and on the valve side we lost less.
Unidentified Analyst: Okay, that is helpful. All right appreciate it.
Cris Gaut: But on the way up too, it's going to walk the same way, I think will gain more pricing on the frac side and less on the valve side.
Unidentified Analyst: Okay, thanks Prady, thanks Cris.
Cris Gaut: Thanks.
Operator: And our next question comes from Vaibhav Vaishnav with Cowen and Company. Your line is now open.
Vaibhav Vaishnav: Hey, good morning. And congrats Prady and Cris, good luck, it is pleasure working with you.
Cris Gaut: Thanks, Vaibhav.
Vaibhav Vaishnav: So if I think about inflate incremental about 40% in 2Q, what are the puts and takes of that actually declining as we look into second half or is that a case that they should be at least in line or better?
Prady Iyyanki: I will say there are few elements for that I would say as Cris mentioned there is operational efficiencies, there is procurement costs and there is cost absorption on the operational side. Right and it is also pricing on the commercial side, right. So I think it depends on how we recovered the price, I think the on the operational side, the procurement staking, the operational efficiencies and the cost absorption, we expect to get those already done right, we expect to get those but we also mentioned there is cost absorption starting in Q2 some of the plants will be absorbed in the third quarter all plants where we are seeing the activities will be fully absorbed. So the pricing is the element is how it recovers starting second quarter.
Cris Gaut: Okay and that procurement impact want to make sure as it works its way through our inventory cost that benefit.
Vaibhav Vaishnav: Thinking about drilling business at least the way I think is that one-third consumables, one third handling tools and one third capital equipment. Can you help us think about what consumables obviously is progressing well, can you help us think about if the capital equipment backlog driving from that backlog is near trough or early trough. And also on the handling tools, how that's progressing?
Cris Gaut: Yes on the capital equipment side I think our bottom of depleting the backlog was couple of quarters ago. So consumables, the drilling consumables is a big part of the drilling product line today. However I think on the handling tools, we expect to start seeing some activity probably in the fourth quarter at a very early stages of recovery, there is still some de-stocking and cannibalization with [indiscernible] but we expect starting in fourth quarter with the handling tools. I think the capital equipment piece is probably to be 18 piece but where we are seeing activity in the capital equipment already is what we talked about is on the services side where customers are trying to upgrade or refurbish the capital equipment and there are also some discussions very early stages with our customers is as they go to the mixed phase of getting to rigs. The older rigs backed into work the amount of money they need to spend from the wallet, from a capital standpoint will become little bigger than what they've sent in the past that is more like one to five kind of range, 1 to 5 million kind of range. If that happens obviously we will participate in that growth tier.
Vaibhav Vaishnav: Okay, that is helpful and last one I'm going to try my level best, can we get to breakeven EPS by the end of the fourth quarter and the path to getting there.
Cris Gaut: So that as we've given, we've given guidance on that the upcoming quarter that, that's a big change for us. We haven't given guidance for some time and what happened in the fourth quarter really depends on what happens with oil prices and activity in the industry so I don't really want to comment that far out on and give guidance that far out.
Jim Harris: It also depends on what so rig count point of the year was the horsepower on the on the frac side by the end of the year right when all those things will play all here.
Vaibhav Vaishnav: Fair enough, and thanks for taking my questions.
Operator: Our last question comes from John Watson with Simmons. Your line is now open.
John Watson: Good morning.
Cris Gaut: Hi, John.
John Watson: I wanted to dig back in on the 250,000 horsepower, could you say how much of that was [indiscernible] power end and fluid end versus just power ends?
Cris Gaut: Yes, I mean for us we sell them separately so, we take orders for the power end and separately for the fluid end. So, sometimes they're for the complete pump, but in terms of how we track it internally, we track them in a separate way so we saw a lot of fluid ends during the quarter. And certainly there was a ramp up there but the power ends are bigger ticket items on an individual basis and you know that's why we've highlighted there that number and the fluid end since we do track that independently. Of course the bigger demand for fluid ends is the replacement market so, I can't tell you exactly how many fluid ends we sold with the power end but, the demand for both is strong.
John Watson: Okay, it's helpful and then on the longer lead times for horsepower as mentioned in the press release. Does that imply that some of the orders that you've received in the 250,000 number, that some of those might not be delivered until 2018 or that too long lead time?
Cris Gaut: I think load lead time I think its within 2017 order I don't think lead times were grown past not being 2017 at least from our standpoint because we can still deliver power ends within 2017 and more importantly I think our lead times are off by month but not significantly not at this point.
John Watson: Okay so if I wanted to buy the mac power end today I could get it by December 31.
Cris Gaut: Yes, we got your number.
Jim Harris: We got your number.
John Watson: Okay. I will give a call. Thank you.
Cris Gaut: But especially if you want December the pricing is significantly higher.
John Watson: Perfect, thanks guys.
Cris Gaut: All right. Well, thank you all and appreciate your attention and good questions and have a good weekend. Thanks. Bye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may also disconnect. Everyone have a great day.